Operator: Good morning. My name is Brandon and I will be your conference operator today. At this time, I'd like to welcome everyone to the First Quarter 2020 Earnings Release and Operations Update for Oasis Petroleum. Today, Oasis’ management will discuss first quarter 2020 results in the current environment. Please note this event is being recorded. I will now turn the call over to Michael Lou, Oasis Petroleum's CFO to begin the conference. Thank you. You may now begin your conference. 
Michael Lou: Thank you, Brandon. Good morning, everyone. Today, we are reporting our first quarter 2020 financial and operational results. We are delighted to have you on our call. I am joined today by Tommy Nusz and Taylor Reid. Please be advised that our remarks on both Oasis Petroleum and Oasis Midstream Partners include statements that we believe to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks and uncertainties that could cause actual results to be materially different from those currently disclosed in our earnings releases and conference calls. Those risks include among others, matters that we have described in our earnings releases, as well as in our filings with the Securities and Exchange Commission included our Annual Report on Form 10-K and our quarterly reports on Form 10-Q. We disclaim any obligation to update these forward-looking statements. During this conference call, we will make reference to non-GAAP measures and reconciliations to the applicable GAAP measures can be found in our earnings releases and on our websites. We will not be hosting a Q&A session during today’s call, but our team will be available after our call as needed.  With that, I'll turn the call over to Tommy.
Tommy Nusz: Thanks, Michael. Good morning and thanks for joining our call. As we noted in our press release today, we are now living in unprecedented times as both our lives and our business have been greatly impacted by the COVID-19 pandemic. We have seen the historic destruction of global oil demand, which was compounded by a sudden oversupply of oil.  While this convergence of market forces is unlike anything we have ever seen, our team knows that we have to be prepared to be able to power down activity in an orderly manner as we did in 2015 as we dropped capital activity, held volumes flat and lived within cash flow – with that cash flow protected by hedges, we put on years prior.  But now the macro environment calls for even more drastic and immediate counter measures. We are just into this environment while striving to keep our employees, contractors and communities safe and healthy. We’ve been rapidly transitioning our business to protect our strong asset base.  All that being said, we were able to deliver a strong first quarter where we were above the midpoint of our production guidance and spent well below our CapEx projections. We have also worked together to reduce our capital spending plan for the remainder of 2020 to put us in a position to be free cash flow positive assuming strip pricing and the support of our strong hedge position.  Before turning the call over to Taylor, I wanted to provide a few high-level reflections on our performance. First, the Williston remains our cornerstone asset and we have seen capital efficiency improve significantly over the past year as we optimized development programs and lowered operating and capital cost.  Second, in the Delaware, we continued to improve drilling and completion efficiencies, the team has done a tremendous job reducing cycle times and driving well cost down by nearly 30% from when we took over the asset two years ago and with visibility to drive well cost even lower. While we are deferring capital activity in the current environment, the Delaware asset is in a position to drive repeatable capital-efficient growth when the investment environment improves.  Third, our Midstream assets provide a differentiated advantage to Oasis. During the first quarter, we had record gas capture of approximately 98% of our gas in our Wild Basin project area and 94% overall. That’s compared to an industry average of 83% and well above the state requirements of 88%.  Fourth, Oasis transitioned quickly in response to the price declines seen earlier this year. Our management team has had experience managing oil and gas businesses through the cycles leading us to build flexibility in the contracts that allow Oasis to power down activity in an orderly manner with essentially no contract exposure.  Lastly, we exited the Well Services business earlier this year and have an ongoing effort to reduce operating and administrative expenses to be consistent with the current operating environment. The recent macro events and oil price volatility have been extraordinary, driving uncertainty in future operating and capital projections.  One of the questions that continues to come up in this reporting cycle is the oil price at which capital activity will increase, while we have a deep inventory of projects that would be supported by economics in a $30 to $40 WTI world, the answer is just not that simple.  The way we look at it is, when market conditions dictate, that means oil price, cost structure, both operating and capital, service availability, the ability to move our product at reasonable differentials and overall margins. What I mean is that, it will not be a single WTI triggering event. In the mean time, we’ll continue to focus on what we can control, driving liquidity, and getting back to the plumbing business of optimizing our asset base with a relentless focus on cost structure.  With that, I’ll turn the call over to Taylor. 
Taylor Reid : I echo Tommy’s comments on our priorities here at Oasis and believe our value system has positively shaped the way the Oasis team has reacted to this environment. Operationally, drilling efficiencies and overall operations are improving across both basins. As the environment continues to evolve, the team keeps looking for ways to drive capital productivity and improve returns, while retaining asset value for a better pricing environment.  In the Williston, we completed 18 wells and brought six of those wells online. Despite winter weather, well costs were lower than expected, driven by strong cycle times and frac efficiency. This helped Oasis trend below expected Q1 spending levels. The team continues to evaluate and improve well and DSU design with the goal of lowering cost and enhancing capital productivity when we take up activity in the future.  We delivered record cycle times in the Delaware, allowing us to get well zone quicker than expected. Our last 2-mile lateral wells were drilled in the 25-day range, which compares to the low-to-mid 30s a year ago. Through improvements in well design and optimized completions, we’ve made significant progress reducing well cost, coming in at $8.3 million, which is a couple of hundred thousand below our target for a four-well pad.  While activity is being is being deferred, we would expect continued progress in both well design and pricing to push well cost to around $7 million when we restart the program. We made the move through the development last year and our last three projects have been full DSU drill outs in the Bone Springs and Wolfcamp Bay.  Well performance has been encouraging, and this trend is a little above our planning expectations, which gives us high confidence in the productivity of our Delaware Basin asset going forward. We began the year running four rigs with two in each basin.  Currently, all rigs and completion crews have been dropped. Our flexible contracts allowed us to drop our capital activity in an orderly and expeditious manner preserving liquidity and positioning ourselves to power backup when conditions merit.  Additionally, we began deferring completions and cleanouts in March and April to preserve capital and retain value for when pricing improves. In April, we also began voluntarily shutting in production as the economics adjusted and we were best served to let pricing improve before bringing these volumes to market.  For the month, we curtailed approximately 25% of production in the Williston Basin. For May, we currently expect curtailments to be higher than April. However, Oasis has significant flexibility to bring volumes back online quickly. In fact, Williston pricing has materially improved from where we were a month ago and Oasis will respond based on the value proposition.  The team is working diligently to reduce operating costs, while wells are curtailed or shut in. I have always been impressed by the capabilities of our production team and we are laser-focused on reducing cost. We have already seen prices on equipment, supplies and services decline around 50% to 20% versus early 2020 levels.  Oasis built 20 DUCs so far this year in the core of both the Williston and Delaware and when combined with the 16 wells that have been completed, but not brought on production gives us robust set of quick response production when conditions improve.  To close, Oasis had a strong first quarter, building upon the success we had in the back half of 2019. I am proud of the responses of our team. They quickly adjusted to a working from home and rapidly decelerated our capital program, cut cost and moderated production in response to the unprecedented price collapse.  That said, the macro environment will continue to change and we are challenging ourselves to do even more.  With that, I'll now turn the call over to Michael. 
Michael Lou: Thanks, Taylor. The Oasis operations team continued to execute well. It’s a volatile market, but the team is certainly doing everything in its power to reduce cost and is protecting asset value by deferring activity until conditions normalize. We now expect E&P and other CapEx to be approximately 50% to 60% below our original budget of $575 million to $595 million. And Midstream is down by 65% to 75%.  We are temporarily suspending volume guidance, given the current environment. We recently completed our Spring Bank redetermination. Our total borrowing base and elected commitments were reduced to $625 million on April 24. As of March 31, we had $522 million drawn on the Oasis facility and $19 million of LCs.  We had $110 million of cash net to Oasis, giving us pro forma liquidity after adjusting for the new borrowing base of $194 million. With our updated capital program, we expect to begin to pay down the revolver in the second half of 2020.  During the first quarter, we reduced the total principal of our senior unsecured notes by $157million during the quarter, taking the balance to $1.826 billion as of March 31, 2020. Separately, Oasis took an impairment charge this quarter, largely based on the sharp decline in prices seen from year end to March 31.  Oasis has never taken a sizable proved impairment charge in prior reporting periods, but this quarter’s charge is appropriate based on market pricing. More details can be found in our press release and in our 10-Q.  Oasis continues to do a good job managing LOE and minimizing downtime. LOE averaged $6.83 per BOE for the first quarter, well below expectations. LOE and GM&T are more difficult to specifically forecast with various levels of shut-ins. But the team is attempting to minimize operating cost, such as electricity and workover costs, when wells are shut-in and subsequently brought back online.  Additionally, the team is hyper-focused on reducing cost across all producing wells in both basins. We continue to manage G&A closely. Our first quarter included the last quarter of operations of our Well Services business and some related charges as we exited that business.  Otherwise, E&P and Midstream G&A are in line with expectations and we are continuing to identify and execute on ways to lower our spend with the expectation that we will spend below earlier expectations for both our E&P and our Midstream business in 2020. Oil differentials averaged $3.19 per barrel off of WTI in the first quarter within our guidance range. Regional differentials have been highly volatile as the market adjusts to lower demand. In early April, Williston crude was trading at over a $14 discount to WTI with Permian trading at wide discount as well. However, this dislocation was temporary and both Williston and Delaware crudes currently trade at a premium to WTI. Our marketing team continues to do a great job and the temporary wider differentials in April had minimal impact on our overall crude pricing. Our hedge position for 2020 remains robust. We have the vast majority of our crude hedged for the remainder of 2020, and details can be found in the appendix of our investor presentation. To sum things up, the environment is volatile, but Oasis is working diligently to reduce spending, lower cost and protect asset value. We have the flexibility to bring wells online and increase activity when the time is appropriate.  With that, I'll hand the call back over to Tommy for some closing remarks. 
Tommy Nusz: Thanks, Michael. In closing, I’ve seen many cycles in my career. Each one is different and this one certainly has its uniqueness to it. While I don’t have a crystal ball to predict what the next six to twelve months is going to look like, one thing I am hopeful for is that the world begins to heal itself and there will be an increasing recognition and appreciation for affordable, reliable and sustainable energy.  Oasis continues to leverage technology and management practices to improve our cost structure and efficiency, strengthen our already leading Greenhouse gas emissions profile, and manage our environmental footprint. I would encourage you to check out our website for more details on Oasis’ sustainability initiatives.  I would like to recognize the extraordinary effort of our entire organization, as well as those around us providing support to what they have done maintain business continuity in a very challenging environment over the last two months is truly amazing.  Thanks again for joining our call. 
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect. 
End of Q&A: